Operator: Welcome to the Fiserv 2017 Fourth Quarter Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. At this time, I will turn the call over to Paul Seamon, Vice President of Investor Relations at Fiserv. Please go ahead.
Paul Seamon: Thank you, and good afternoon. With me today are Jeff Yabuki, our Chief Executive Officer; Bob Hau, our Chief Financial Officer; and Mark Ernst, our Chief Operating Officer. Please note that our earnings release and supplemental presentation for the quarter are available on the Investor Relations section of fiserv.com. Our remarks today will include forward-looking statements about, among other matters, expected operating and financial results, strategic initiatives, the sale of the majority interest of our lending solutions business, the impact from tax reform and the accounting changes in ASC 606. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. Please refer to our earnings release for a discussion of these risk factors. You should also refer to our materials for today's call for an explanation of the non-GAAP financial measures discussed in this conference call, along with the reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional meaningful comparisons between current results and prior reported results and as a basis for planning and forecasting for future periods. Unless stated otherwise, performance references made throughout this call are assumed to be year-over-year comparisons. With that, let me turn the call over to Jeff.
Jeffery Yabuki: Thanks, Paul, and good afternoon, everyone. Fourth quarter results were excellent across-the-board and contributed to us meeting each of our financial objectives for the year. Internal revenue growth in the quarter rebounded to its highest level in several years at 6%, with strong performance in both segments. Sales increased 14% sequentially and quota attainment was 100% for the quarter. The performance in the quarter led to a 22% increase in adjusted earnings per share, capping our 32nd consecutive year of double-digit growth. Nearly as impressive is that in 30 of the 32 years we have been a public company, our stock has provided a positive return to shareholders, further demonstrating the underlying growth and resilience of our business model. Our financial outlook for 2018 includes acceleration in internal revenue growth; substantial adjusted earnings per share growth, further buoyed by the tax reform passed last year; expanding adjusted operating margin; and strong free cash flow. Our 2018 guidance also incorporates some incremental investments we are choosing to make as a result of the tax law changes, which we will discuss later in this call. 2017 internal revenue growth was 4%. Adjusted operating margin expanded 60 basis points, which includes margin dilution from in-year acquisitions and importantly, free cash flow crossed $1.2 billion for the first time. Earlier today, we announced the signing of an agreement to sell a majority share of our lending solutions business to Warburg Pincus LLC. This business has been primarily focused on auto loan origination, lease management and high-volume mortgage servicing. As you may recall, we formed a similar structure with our StoneRiver venture in 2008, which provided outstanding returns for our collective shareholders. We believe Warburg Pincus is the right partner to take advantage of the growth and value-creation opportunities in this business. A very important part of our strategic platform is ensuring we have the right mix of businesses to deliver superior value for both clients and shareholders. Over the last year, we divested a few smaller businesses and completed 4 acquisitions, all with an eye towards increasing differentiation, adding to our growth quotient and enhancing value creation. Now let's review our progress in 2017 against our key shareholder priorities, which were: first, continue to build high-quality revenue while meeting our earnings commitments; next, to enhance client relationships with an emphasis on digital and payment solutions; and third, to deliver innovation and integration, which enables differentiated value for our clients. A primary focus of our business is to continue to add high-quality revenue. Our internal revenue growth accelerated to 6% in the quarter, driven by strong performance across multiple business lines, including a rebound in periodic revenue from Q3. Internal revenue growth was on the lower end of our full year guidance at 4%. Adjusted operating margin was up 60 basis points for 2017, and is our sixth consecutive year of expansion. Adjusted EPS finished near the top of our original guidance range, up 16% for the year to $5.12, and free cash flow was excellent, up 13%. We are pleased to have met our financial commitments for the year and are well-positioned going into 2018 and beyond. Our second priority is to enhance client relationships, with an emphasis on digital and payment solutions. DNA, which we acquired in 2013, had another very strong year, with signings growing more than 30%. And within that, we nearly doubled the number of institutions signed with assets greater than $1 billion. We expect to see increased revenue from DNA in the related solutions in 2018 and to further penetrate the most attractive segments of the market. For example, we signed Sallie Mae Bank, a $21 billion asset institution in the quarter to implement a DNA-led digital bundle, including Architect and our leading payment solutions. The bank chose Fiserv and DNA because of its modern architecture, flexible user interface and superior digital capabilities. Architect, our multichannel digital platform acquired in 2016, has made strong inroads in a market that is increasingly looking for a flexible, integrated solution for both online and mobile banking that serves all types of users: retail, small business and commercial. Our platform, combined with market-leading payment solutions, has us very well-positioned to ride the evolving digital wave. As proof points, the number of Architect sales increased over 300% compared to 2016. We were pleased to expand our relationship with Fidelity Bank, with $4.5 billion in assets in the quarter. The bank selected Architect and CheckFree RXP to enhance its digital offering because of our robust features and depth of solution integration. We also signed Dollar Bank, with assets of over $8 billion to a digital bundle headlined by Architect, CheckFree RXP and our turnkey Zelle solution. We were again chosen to enable digital transformation due to superior technology and integration. We grew our Mobiliti ASP subscribers 24% to 6.8 million for the year. Mobiliti business also continued its growth trajectory as subscribers grew nearly 75% for the year and the number of live clients was up nearly 60%. In addition, subscribers on the Architect-integrated platform grew nearly 40% for the year. We expect strong growth as mobile continues its journey to become the preferred interaction channel for depository institutions and their customers. Our third priority is to deliver innovation and integration, which enables differentiated value for our clients. The Zelle P2P network launched in June with Fiserv as a key partner to enable both large and small financial institutions. During the quarter, we continued to sign larger institutions to our turnkey Zelle solution, including Comerica Bank, with $72 billion in assets. In addition, SunTrust, Citizens Bank and Ally Bank, each went live in the quarter, contributing to a 90% increase in sequential Zelle transactions. The market enthusiasm we are seeing with Zelle, along with a ramp in advertising across multiple media channels, is supporting our optimism about the size and the scope of our role in this emerging payments opportunity. We continue to expand our portfolio of innovative solutions during the year, completing 4 acquisitions in areas of strategic importance such as payments and digital enablement. Early in 2017, we closed on the acquisition of Online Banking Solutions with its award-winning digital banking product, Commercial Center. During the year, we signed more than 20 institutions to this high-end solution, nearly 4x the prior year and a sevenfold increase in total contract value. Commercial Center users increased 38% over the prior year and like Architect should grow substantially in 2018. We acquired Dovetail in the third quarter to provide our clients with market-leading transformational payments technology and real-time capabilities. We're off to a strong start, signing 2 of the top 25 banks in the quarter, Citizens Bank and KeyBanc, to the Dovetail real-time payment solution. We're seeing strong demand for these services in the U.S., which is adding to our forward optimism. And finally, for the fifth year in a row, we were named one of FORTUNE Magazine's World's Most Admired Companies. We're also one of roughly 200 businesses to achieve this honor, along with being included in the Fortune 500. Now with that, let me turn the call over to Bob to provide additional detail on our financial results.
Robert Hau: Thanks, Jeff, and good afternoon, everyone. Adjusted revenue for the quarter grew 7% to $1.4 billion and increased 4% to $5.4 billion for the full year. Internal revenue growth of 6% in the quarter was led by strong performance across both of our reporting segments, including the timing benefit of periodic revenue shortfall from Q3. Adjusted earnings per share grew a very strong 22% to $1.41 in the quarter and increased 16% for the year to $5.12. Adjusted operating margin in the quarter was up 190 basis points to 34.0%, due primarily to strong Q4 revenue growth and mix. Our full year adjusted operating margin expanded 60 basis points to a new full year high watermark of 32.8%. Our strong results were driven primarily by Payments segment growth, business mix and a continued focus on operational effectiveness, partially offset by a 30 basis point headwind from in-year acquisitions. We are well-positioned to continue expanding operating margin through high-quality revenue growth, operational effectiveness benefits and growing our newer acquisition-based solutions. The Payments segment delivered internal revenue growth of 7% for the quarter and 5% for the year. Performance in the quarter was led by strong results from our card services and electronic payments businesses. Adjusted revenue, which includes the impact of our acquired businesses, grew 9% in the quarter to $792 million and 6% for the full year to $3 billion. Debit transaction growth for the year was in the mid-single digits and with only a minimal current year benefit from Zelle, P2P transactions grew more than 20%. Mobile banking continues to be a critical priority for our clients and a growth driver for us. In 2017, we signed 35 clients to Architect and 160 clients to Mobiliti ASP. Mobiliti ASP subscribers grew 6% sequentially and 24% for the year to 6.8 million. The Payments segment adjusted operating income increased 20% in the quarter to $288 million, and was up 10% to $1 billion for the full year. Adjusted operating margin increased 330 basis points in the quarter to 36.4%, due primarily to the timing of periodic revenue and growth in our scale revenue businesses. For the full year, adjusted operating margin expanded 130 basis points to 35.1%, which more than offset the 40 basis point headwind from current-year acquisitions. The Financial segment adjusted revenue in the quarter was $668 million, with internal revenue growth of 5%, driven primarily by our account processing and lending businesses, along with an increase in periodic revenue. Internal revenue growth in the segment grew 3% for the year and adjusted segment revenue was $2.5 billion. Adjusted operating income for the segment was up 8% in the quarter to $235 million and up 3% for the year to $849 million. Adjusted operating margin in the quarter improved 140 basis points to 35.1%, which was our strongest adjusted operating margin quarterly performance of the year. Full year adjusted operating margin for the segment was up 30 basis points to 33.5%. And margin performance for the quarter and the year was again driven by revenue growth in scale businesses, revenue mix and operational effectiveness. Corporate and Other net operating loss came in generally as expected for both the quarter and the full year, consistent with our comments in Q1 of 2017. The adjusted effective tax rate in the quarter was 32.8% and the full year was 31.2%. These results were slightly better than our expectations due to the timing of certain discrete tax benefits in the quarter. [indiscernible] on a GAAP basis, we recognized a $275 million tax benefit, driven by the Tax Cuts and Jobs Act impact on our deferred tax liabilities, which has been -- not been included in our adjusted EPS in the quarter or the year. As Jeff indicated, we expect a meaningful benefit from tax reform and accordingly, we currently estimate our adjusted effective tax rate in 2018 to be between 22% and 23%. This rate is down significantly from our previously expected long-term rate of 33% as well as 2017's adjusted effective tax rate of 31.2%. Our new adjusted effective tax rate range includes the expected benefit of the lower headlined federal rate, partially offset by reduced tax benefits such as the elimination of Section 199 deduction and a reduced value of state deductions. As mentioned upfront, we've decided to use this unique opportunity to increase our investments for the next couple of years, which we believe is the best option to maximize long-term shareholder value. We expect these investments to center primarily on client-facing technologies, with a focus on service excellence, digital experience and payments. And at the same time, we will also undertake a holistic view of our employee benefit plans. We expect the majority of these investments to subside over the next 18 to 24 months. Overall, we estimate that the tax reform savings, net of the new investments, will contribute between $0.55 and $0.63 to our adjusted earnings per share for the year. Our strong business model generated a record $1.2 billion of free cash flow in 2017, up 13% from the prior year. Free cash flow conversion for the year was 111%, the top end of our guidance, once again demonstrating our focus on turning earnings into free cash flow. We repurchased 1.5 million shares of stock in the quarter for $189 million, and 9.7 million shares for the year. That translates to $1.2 billion for our shareholders in 2017 and $5 billion over the past 4 years. There were 207.6 million shares outstanding at year-end and 10.7 million remaining shares authorized for repurchase. Total debt outstanding at the end of the year was $4.9 billion, or 2.3x trailing 12-month adjusted EBITDA, well within our targeted leverage ratio. We'll continue to leverage the strength of our balance sheet, combined with excellent free cash flow to create meaningful value for our clients and shareholders. As Jeff mentioned, we signed an agreement to sell 55% of our lending solutions business, which we expect will be slightly dilutive in 2018. We anticipate receiving approximately $395 million of net after-tax proceeds and we will retain a 45% interest in the new venture. We anticipate closing the transaction in the first quarter and have incorporated the expected impact into our 2018 guidance. On a pro forma basis, the adjusted EPS for 2017 should be reduced by $0.16 to $4.96. We also expect this transaction to compress adjusted operating margin by about 50 basis points in 2018, which has been included in our outlook. We believe this transaction and subsequent joint venture is a superior way to maximize the value for our clients, associates and shareholders. We deployed approximately $385 million to acquisitions during the year, which we believe over time, will make important strategic and financial contributions. Along those lines, we've taken steps to streamline the Monitise acquisition, including the divestiture of the retail voucher business, which closed in January. This transaction alone reduces our net Monitise purchase price by roughly 70%. We've adopted the new accounting standard for revenue recognition in 2018. And given the nature of our business model, less than 5% of our revenue is impacted by the revenue recognition change. The primary areas of impact are termination fees and a subset of our professional services revenue. And while we do not expect the new standard to have a meaningful impact on our full year results, we do anticipate increased variability within the quarterly comparisons as the new revenue recognition standard is applied prospectively to our reported results. We've elected to use the modified retrospective transition approach, which will provide you with transparency on the impact of the old and new methodologies each quarter. With that, let me turn the call back over to Jeff.
Jeffery Yabuki: Thanks, Bob. Sales performance was 100% of quota in the quarter. For the year, sales were up 3% and at 93% of quota. Domestic sales results were slightly better, coming in at 96% of quota against aggressive 2017 targets. Total sales growth has averaged 12% per year for the last 2 years and keep in mind, we typically don't include the sales results from in-year acquisitions in our reporting. We anticipate a step up in sales for 2018, which is supported by a strong pipeline as we enter the new year. Integrated sales finished well, increasing 34% sequentially to $103 million in the quarter and up 2% to $297 million for the year. Digital channels, payments and statements continue to be the larger drivers of growth in this important element of our strategy. Our operational effectiveness results were outstanding, coming in at $82 million for the year, significantly exceeding our $60 million target. After the second year of our 5-year plan, we have achieved nearly 60% of the $250 million objective, well ahead of our anticipated pacing. Savings for the year were led by workforce optimization and procurement. Our data center consolidation has also progressed, closing nearly half of the locations we have targeted to eliminate. Our operational effectiveness target for 2018 is $50 million. We're seeing continued enthusiasm in the banking market due to a combination of tax reform and rising interest rates. We anticipate financial institutions will use this excess capacity to increase investments in their businesses with a technology focus on payments, cybersecurity, digital and data management and utilization. These priorities align quite well with our organic and acquisition-based innovation and we are well-positioned to benefit from this demand over time. With that, let's move to 2018. Our key shareholder priorities will remain substantially similar to the 3 focused areas tracked in 2017. Financially, we expect our internal revenue growth rate to accelerate to at least 4.5% for the year. Our revenue growth expectations for the year also assume a substantial reduction in termination fee revenue. Speaking of which, you will recall we had very high periodic revenue in last year's first quarter, which will lead to a difficult compare. Therefore, we expect internal revenue growth to be low in Q1 and that the expected acceleration will begin in the second quarter and build throughout the year. As we've discussed, we intend to allocate a portion of tax savings to increase our investments and maximize shareholder value over the longer term. Given the combination of these incremental investments, which we anticipate will moderate over the next couple of years, and the compression from the sale of the lending business, we expect our adjusted operating margin for the year to increase in a range of 10 to 30 basis points, and for illustration, have included a bridge on Page 19 of the accompanying slides. We expect adjusted earnings per share to be in a range of $6.05 to $6.30 for the year, which is growth of 22% to 27% over the revised 2017 result of $4.96, reflecting the sale of the majority share of the lending business and the net earnings benefit of the tax law changes. Finally, we expect free cash flow conversion to be in a range of 106% to 111% for the full year. Given we are investing a portion of this year's tax benefit, we believe it is valuable to provide very early transparency into next year. For clarity, while this is absolutely not 2019 guidance, we believe our adjusted earnings per share growth should be well within our long-term outlook, be at least $7 per share and carry our typical level of free cash flow conversion. In conclusion, we view 2017 as a year of both progress and new opportunity. While we are pleased that we achieved our financial commitments, we are far more excited about the road ahead. We're proactively shaping our business to stay on the forefront of the trends facing financial technology and most important, to ensure we are the partner of choice for our clients. At our Investor Day in June, we shared a series of strategies that we believe will allow us to create sustained value for our shareholders and contribute to even stronger performance in 2018. We know our success is a result of the cumulative effort, dedication and accomplishment of our nearly 24,000 associates around the world who are Fiserv-proud and come to work each day to make a difference for our clients and shareholders. Lastly, we announced today that Mark Ernst, our Chief Operating Officer, intends to retire from Fiserv on April 1. Mark joined the company in early 2011 and has been a key part of the executive leadership team. Mark is a strong leader, with unparalleled strategic insights and vision. He has made numerous contributions to the company, including recently spearheading the development of a new end-to-end service model, which we believe will transform the way we serve clients. As some of you know, Mark and I have worked together on and off for the better part of 30 years. It's been a privilege to learn, work and partner with him in a journey to deliver differentiated value to our clients, associates and shareholders. We thank Mark for his many contributions to Fiserv and wish him the best as he moves into this next stage of his life. With that, let's open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Dave Koning of Baird.
David Koning: So I guess, first of all, deferred revenue was up a ton sequentially. It's been in a pretty tight range, kind of around $450 million for a while. Is that reflective of all the sales and part of the reason why like, that revenue's going to come in, in 2018?
Robert Hau: Yes. Dave, it's Bob. You're absolutely correct. We did see an increase. That's part of our annual billing process and that revenue will materialize over the course of 2018.
David Koning: Okay. Got you, great. And then I guess, one other thing, the minority interest line, are we going to see something like that now, the 45% is going to fall through there just like StoneRiver used to? And how much about would that be per quarter?
Robert Hau: Yes. So you're exactly right. We will see the minority interest from the joint venture begin to flow through there in first quarter, very similar to what you saw with StoneRiver. We're not ready to forecast out that particular line of income statement but we will see that throughout 2018.
Jeffery Yabuki: Yes. Dave, part of it depends on closing timing and things like that. So we'll give that a little bit more perspective in Q -- when we report Q1.
David Koning: Got you. And the only other thing I had, just buyback thought process, like pretty typical going forward, like nothing's changing a lot with tax reform. We should kind of assume within guidance, kind of the normal pace?
Robert Hau: Yes, absolutely. No change in our capital deployment approach, consistent with the last many years.
Operator: And our next question is coming from Ramsey El-Assal of Jefferies.
Ramsey El-Assal: Jeff, was there anything kind of -- any incremental visibility that helped you kind of get comfortable providing that preliminary view of '19, confidence in the pipeline? Or is that more just sort of a general confidence level about the ongoing solidity of the business?
Jeffery Yabuki: So, it's really a combination. I would say it was for a couple of reasons. We -- as most people know, we operate in a pretty tight range in terms of earnings growth, and we feel good about some of the elements that we think are going to drive additional growth and therefore, profitability, as we deliver -- as we intend to deliver in '18 and then move into '19. But the other piece is we wanted to make sure that shareholders understood that some of the investments that we're making that we -- the incremental investments that we carved out of some of the tax benefits, we do see those investments -- we expect those investments to moderate over the next couple of years. And therefore, we'll have a more normalized growth rate even after having what's our guidance this year, the 22% to 27%. So we would still expect to be well within our guidance and we just wanted to make sure we gave a little pathway of visibility to that, again, on top of the fact that we do have an expected level of confidence that we'll see revenue growth start to step up in the way that we have strategically intended it to.
Ramsey El-Assal: Okay. Are there other assets like the lending business that are ripe for similar treatment? Should we expect incremental divestitures to kind to free up some liquidity over the medium term?
Jeffery Yabuki: It's a great question. I will say, as part of our strategic process, on a very regular basis, we're taking a look at what is the mix of businesses that we have, how do those businesses compare with not just the macros that we see today but the forward macros, does it fit well with this integrated -- we talked about this 4-corner strategy where we've got assets that fit into these corners and how do they fit in terms of driving innovation advantages and integration advantages. So we laid that out at Investor Day. And frankly, as the world evolves, there may be assets that fit today and won't fit tomorrow and assets that we need tomorrow that we'll acquire to make sure that we have the right mix. So as we sit here today, I wouldn't say we have an immediate list of things that we would look to divest, but we will continue to monitor that over time. I think we did the StoneRiver joint venture back in 2008, and this is really the -- we haven't done a larger divestiture since that time. So I don't know that necessarily, past performances is indicative of the future but it's not something that we plan to do on a regular basis.
Operator: And our next question is coming from David Togut of Evercore ISI.
David Togut: Best of luck, Mark.
Mark Ernst: Thanks, David.
David Togut: As you look out to 2018, how are you thinking about the internal growth rates of Payments versus Financial? You've called out 30% growth in DNA signings in '17, so I'm curious if you start to benefit from those in '18, are those more 2019 revenue benefits?
Jeffery Yabuki: So let me start with it and then, Bob, you can add on as needed. As we have for the last number of years, we would expect to see payments drive a higher proportion of relative growth in the company. And the signings that are coming -- the signings that we would have made in '17 would largely benefit second half '18 and into '19, again, depending on the timing of the transactions. But there's not -- we would be more benefited from the signings frankly in '16 in 2018 than we would the '17 signings. But we like the momentum a lot. You've, I'm sure, David, picked up the comment that we made about the number of institutions that we've signed, over $1 billion of assets. We're getting really great momentum there in both the bank and the credit union space and so, we're quite excited about the state of the market.
David Togut: Are you seeing any relative difference in 2018 technology spending intentions between your credit union customer base and your bank customer base?
Jeffery Yabuki: I would say relative to '17, no. We did -- we have been seeing the bank side of the charters step up their spending where the credit unions had been a little bit more out in front. We're also seeing a lot of interesting activity as it relates to payment hubs on the bank side, where the banks are putting more money into payment modernization, the credit unions have been historically, except for at the very high end of that base. So that's another slight differential.
David Togut: Got it. And then operational effectiveness, you exceeded your '17 target by nearly 40%. It looks like your 2018 target of $50 million is actually about 16% to 17% below your '17 target. What are the reasons why that target would step down? And is that just a conservative view at this point?
Jeffery Yabuki: David, we'll let Bob take that one. Go ahead, Bob.
Robert Hau: Thanks, Jeff. So the simple answer is, as you know, it's a 5-year program. We just finished year 2. We are well ahead of the expected pace through the first 2 years. We're about $140 million in right now with the $50 million forecast for 2018. We'll be approaching $200 million just 3 years into the program. We had some really nice progress in labor optimization and procurement in 2017. Some of that doesn't naturally repeat. We'll continue to see benefits on procurement, data center optimization, real estate into 2018, and that's really the underpinnings of that $50 million forecast.
Jeffery Yabuki: David, I would add in there, I mean, in all candor. We've meaningfully outperformed where we thought we would be in the first 2 years of the program. And so just continuing to make sure that we do this well and that we systemically continue to build up, it's also one of the reasons why we like our visibility going into '19. We would expect to see continued growth in the operational effectiveness. The other thing I would say is at our Investor Day, Bob had talked about the fact that he already was foreshadowing another phase. We're quite intrigued at some of the technological advancements that have been made, even in the 6 months or so since we did Investor Day in AI and RPA. And so we're evaluating those kinds of technologies in a way to both be more efficient but also deliver a far -- we think, far more effective service to clients. So it's a pretty interesting time in the whole space of operational effectiveness.
Operator: Our next question is coming from Ashwin Shirvaikar of Citigroup.
Ashwin Shirvaikar: Congratulations, Mark, on your retirement. I guess, let me start with the 4 acquisitions that you made, I think, in the last just I think, 5 months, 6 months. Can you size them? So what's factored in the guide? And I realize the forward benefits are -- a lot of them are strategic and cross-selling type stuff in nature and microservices and all that. But can you size them and kind of lay them out for us, if you don't mind?
Jeffery Yabuki: Well, let's see if we can get there, Ashwin. The acquisitions that we had been doing, we started the year doing the Online Banking Solutions, which was the acquisition of Commercial Center. We then did the PCLender acquisition. We then did Dovetail and then I think we closed out the year with Monitise or maybe it was the other way around, they were pretty close to each other. Each of those -- each of the Dovetail, PCLender and Online Banking Solutions or Commercial Center as we talked about in the script, those technologies are fully solution technologies. They're in the market, we're selling them, we're quite enthusiastic. But remember, the way we calculate internal revenue growth today, the growth that we would have gotten from those solutions, we don't bring in to our internal revenue growth calculation until it's been -- they've been with us for 12 months. And so, there was effectively 0 in 2017 from that. We'll get a little -- we'll start to get a little bit of it in '18 from the OBS, the Commercial Center acquisition. And then starting in the fourth quarter, we'll see little bits of the other acquisitions start to layer in. So we do have a fair amount of optimism around creating at least a tailwind for internal revenue growth as we move into '19 through these acquisitions. For the most part, we are buying businesses that we believe are importantly accretive to our growth rate, have technologies that we believe align very well with our clients and then third, that they fit our integrated value proposition that we look to bring to the market. So from a pure acquisition perspective, they will impact us on the top line very little in '18. There'll be some bottom-line benefit because, of course, that is not excluded in the calculations but that the real cumulative contribution will start in '19. Just like we saw with DNA when we bought that in '13, we're now seeing very healthy contributions to growth from that. Just illustratively, we would expect it to follow that type of a pacing.
Ashwin Shirvaikar: Understood. Anything on the size would also be helpful in terms of revenues. But the other question I had was the comment on term fees being lower, was that primarily -- did I understand it correctly, it's driven by ASC 606? Or is there some change in the market where you've kind of done something to have lower term fees, higher win rates, something like that going on? Can you comment on that?
Robert Hau: Yes. Overall, there's -- as I mentioned in the opening comments, there's very modest, immaterial impact from ASC 606. Term fees are one of the areas but not a significant driver. It really is the market driving the reduced amount of term fees in '18 over '17.
Jeffery Yabuki: Ashwin, part of it is you never -- you don't know exactly what's going to happen from term fees. We are expecting to see lower term fees, actually meaningfully lower term fees this year, and part of it is valuations. As valuations go up, we see acquisitions go down. We're optimistic based on what we see on the horizon that we'll win more in that space and therefore, term fees will be less. But it's just -- it's really the balanced assessment of the market and where we are right now.
Ashwin Shirvaikar: Understood. And if I could sneak one more in. Other than the 1Q comment that you had, Jeff, any other parts on guidance for segment revenue profits for the year? Anything we should watch out for as we lay out the quarters?
Robert Hau: Not -- I mean, the comment Jeff made about Q1 is really driven -- if you recall, Q1 of '17, we came out of the gate very strong and so we have some difficult comps, and that was driven by some timing of periodic revenue that doesn't repeat. And then the other item I pointed out in my opening comments is we'll see some variability on a quarterly flow, given the ASC 606. But again, we'll give some good visibility into that as we release earnings on a quarterly basis going forward.
Operator: And our next question is coming from Joseph Foresi of Cantor Fitzgerald.
Paul Seamon: Operator, maybe we should go to the next question.
Joseph Foresi: Can you hear me? There was a phone I think, ringing in the background there. Can you hear me now?
Paul Seamon: We're all good.
Joseph Foresi: Well, I guess my first question here is you made in your comments earlier, bank IT spending maybe was increasing due to maybe some tax reforms and I guess, higher interest rates. Do you think you're going to see maybe some more spending in '18? And if so, how would you think about that flowing through the model?
Jeffery Yabuki: Yes, it's a good question, Joe. The comments were really meant to imply that financial institutions, the people making buying decisions are feeling healthier right now and that they're expanding the aperture -- opening the aperture on what it is they're looking at. For our purposes, we don't assume a spending environment that is, in any meaningful way, different in '18 than it was in '17. I think to the extent that we see the translation to wider exploration to sales to revenue, it's really going to be more of a '19 impact than it would be an '18. But we are optimistic about how "banking" feels right now and from their perspective and their opportunity to maybe spend more on solutions as they move forward. So that is a level of optimism that's more factored into out years than it would be this year.
Joseph Foresi: Got it. And then, could you talk a little bit about what the contribution from those digital offerings were in '17 and maybe what you expect them to contribute in '18? If you could size that in any way, that'd be great.
Jeffery Yabuki: Joe, what kind of -- when you say contribution, what do you mean?
Joseph Foresi: Either revenue growth or percentages of revenue. I know it's probably hard to peg, but I want to see if we can get a sense of how big they were.
Jeffery Yabuki: Yes. We don't supply that kind of detail. What I would say is one of the things -- one of the reasons why we've been using our Mobiliti ASP solution as an example, I think this year, we were up 24%, so the -- we're seeing a lot of growth on the digital side. That business has gone from really, 0 users about 5 years ago to now, nearly 7 million, and we would expect to see strong growth again. We're getting growth from Architect, now Commercial Center, Zelle, our Notifi product. So, there's a lot going on out there. So digital is becoming a larger and larger part of the company. Now I would say -- I think it's fair to say it's still a relatively small part of the company but its contribution is growing more and more, and we expect that to continue so long as the world continues to evolve digitally.
Joseph Foresi: Got it. And then the last one for me, do you expect to return to sort of this 50 to 70 basis points margin expansion in '19? I know you gave at least a goalpost out there of at least $7. So I'm just wondering, do we return to sort of the usual margin expansion in that particular year?
Jeffery Yabuki: Yes, absolutely. Barring something unforeseen that is not within our aperture right now, I would say we would expect to be back to where we are with our long-term guidance.
Operator: And our next question is coming from Brett Huff of Stephens Inc.
Brett Huff: One technical question and one sort of bigger picture. I'm trying to make sure I understand the puts and takes from the, I think, at midpoint, $6.18 guidance. I think I heard you guys say $0.55 to some other number in terms of net tax benefit, net of reinvestments. Could you just give us that number again?
Robert Hau: It's $0.55 to $0.63. And again to your point, that is a tax benefit net of the reinvestment.
Brett Huff: And then the other things we should think about that are impacting that, we should net that out of the guidance, to try and get kind of apples-to-apples to what we were all thinking. We need to add back $0.10 from the lending transaction, does that sound about right? I think you guys said 50 bps and the math I do is about $0.10 dilution from that. Is that fair?
Robert Hau: So I guess, 2 data points. One, we indicated that the impact of the selling the majority interest is about a $0.16 impact to 2017. So we are essentially revising and modifying the $5.12 down by $0.16 to a new baseline of $4.96, and then growing the 22% to 27% EPS above that.
Brett Huff: Got you. Okay, that's helpful. And then my bigger picture question is, you guys have done a remarkable job of buying assets that in many ways, were underperforming from other folks and putting them onto your platform and really accelerating sales. I mean, the numbers you guys gave were truly remarkable. I assume there's a lot more stuff out there that you guys see that you can kind of plug into your system. A, is that true? And then, b, where kind of would that be? Where are you looking to get that kind of -- that benefit?
Jeffery Yabuki: Thanks, Brett, that's kind of you to say. We do see a lot of opportunity in the market in terms of using your vernacular, buying assets and plugging them into the system. We've done a -- I think we've done a nice job of building a distribution system and an integration methodology that allows that to happen. Because we've done that, we also recognize that there is a natural limitation that occurs across our distribution force in a -- we sometimes refer to it internally as shelf space. We can only do so many things in terms of asking our people to sell them but more importantly, of having the clients be willing to accept what it is we're selling in terms of their own capacity to implement. So therefore, we have to be pretty pragmatic about what it is we bring into the system, knowing that we have to manage those couple of variables and balance that against the products and solutions that we build on our own without going out and acquiring them. So we've really said, let's focus on the solutions that we think have the best macro characteristics, think payments and digital, and that it fits our brand and it fits the things that we're trying to do in terms of equipping our clients. And I would say also at Investor Day, we talked about payments, digital, account processing as both the distribution system and a place where you can add product like we added over PCLender and our Commercial Center product. And then the last bullet or the last component is in this biller solutions strategy, which we've identified, call it, I think more than $500 million of annual revenue opportunity that we just began to sell this year. We see that ecosystem as another way to do exactly what we've done in building the distribution system through the core account processing. So kind of a long-winded way of laying that out, but we do see those opportunities. Now, valuations aren't necessarily cooperating with us at this stage but again, we're willing to go out and buy those things that we think add value for clients and contribute to the growth in revenue and cash flow that we're trying to create within Fiserv.
Operator: And our next question is coming from Tien-tsin Huang of JPMorgan.
Tien-Tsin Huang: I just had a follow-up to Joe's question on the margin. You put an upper bound to your margin expansion, which I think is pretty unusual for Fiserv. So just trying to better understand, are we -- should we infer from that, that maybe you're more likely to reinvest any upside you might get on the margin side? I know you're talking about core operating margin being very strong, et cetera, but just trying to understand the guide a little better.
Jeffery Yabuki: Yes. So Tien-tsin, it -- I think you're right. We typically don't put a 20 basis point range and in fact, we typically just say it's going to be a least a number and then we drive it. We've carved out frankly, about as much investment as we can take in this year, so it's not that. It really is a combination of the underlying dilution from the sale of the majority interest in lending, coupled with the substantial reduction in termination fee revenue, which obviously comes in at a higher margin. So we think those 2 are pressuring us. I think it's possible that we could be above that but we were trying to just give a likely range, really for modeling purposes more than anything else.
Tien-Tsin Huang: Yes. No, that's fair, that's fair. It's good to get more parameters for us. We always need it. On the -- 2 quick ones, if you don't mind. Just on the periodic revenue benefit in the fourth quarter. Did you size that? I may have missed it.
Robert Hau: We actually did not but order of magnitude, it was about $30 million year-over-year. And as you recall, we were light in the third quarter, about half of that is recovery from -- or rebound of that third quarter weakness coming into the fourth quarter.
Tien-Tsin Huang: Got it. And then just last one, just I wanted to ask you, Jeff, on the -- I think there's been a couple articles about the ACCEL network and how you're going after more traditional signature debit business. I was curious sort of what your strategy is there. Could that be a growth driver as we think about Fiserv being a debit business?
Jeffery Yabuki: Yes, it is. You, I assume, are referring to the Walmart lease. I mean, we have been doing a lot of work on ACCEL over the last several years, creating what we think is some interesting innovation. We've got a couple of other areas that we're working that we think will further differentiate our network and then obviously, benefit our clients along the way. So yes, I mean, we do see one of the drivers of growth acceleration in 2018 to be ACCEL network innovation.
Operator: And our next question is coming from James Schneider of Goldman Sachs.
James Schneider: I wanted to go back to your commentary, Jeff, on the outlook for bank consolidation and M&A. On one hand, typically when we have these kind of rate cycles is when more M&A happens. The increased SIFI limits would suggest that not that maybe your bank clients on the smaller end would be that directly exposed to it, but at the same time, you're talking about valuations up and term fees down. So maybe kind of give us your feelings on whether you think that even though we've had increased M&A recently, do you think that the numbers actually start to trend down at this stage?
Jeffery Yabuki: So at least for our purposes, we are planning to have a fairly meaningful reduction in termination fee revenue. Termination fees, just as a reminder, termination fees are based on both the number of M&A transactions but the contract term remaining on the acquisitions at the time. The pulse that we're hearing from the market, and I would say this is more on the bank side of the house, is that valuations are high. The need to consolidate doesn't feel quite as compelling because the revenue line is growing. And I think you'll see people be -- see potential buyers be pickier than maybe they were 2 years ago, the number of targets is diminishing a bit. We're also starting on -- quite on the positive side, we're actually starting to see a slight hiccup -- sorry, a slight tick up in the de novo activity which we deem to be quite positive for the space. And so we're bullish about the space, more bullish right now than we've been in the last few years. We think that likely translates to this reduction in term fees and think we're better off planning for that than frankly, where we were over the last several years.
James Schneider: That's helpful. And maybe just a quick question to follow-up on the sales commentary and how that translates to revenue. I think you had sales numbers back in 2016 which were up 20% or something like that, more muted in 2017. I just want to clarify, did the sales that you experienced in 2016, will those all be recognized by the end of 2018 in terms of revenue? And would you expect kind of like a significant pickup in Q2 and Q3 as a result of that?
Jeffery Yabuki: So I think it would be way more aggressive than we could be to say all, but we would expect that the substantial majority of the sales that we made in '16 would begin to hit at some point in 2018. There's always exceptions to that but that -- we would expect that to be the case. As it relates to the sales in-year, I would say we have a practice of increasing our quotas each year. And so the fact that we were up 3% but we missed quota tells you that we actually increased our quotas. And frankly, what happened was there were a couple of larger deals that we've been working in our pipeline that took -- that had not closed in-year. We had originally expected that they would close in-year. It's not necessarily that they've gone away but they've just been delayed, and it's one of the reasons why we have some optimism for our 2018 sales performance being higher again than it was in '17.
Operator: And our next question is coming from Darrin Peller of Barclays.
Darrin Peller: I just want to get a question in on the reinvestment you talked about. Obviously, you gave us some indication that some of it was not going to be recurring after this year. But I guess, maybe just a little more granularity on the specifics of where you're reinvesting that money now in terms of what may or may not be repeated in 2019. And I guess, just given how much demand, it sounds like demand is growing around the banks in your end market, why wouldn't we expect that to keep going in that level in '19? Or is it just scale and operating leverage that overcomes that?
Jeffery Yabuki: Yes. No, that's a great question. So we -- as a matter of course, we have been investing in the company for a long time. And in fact, our investments in technology development have been going up, not down over the last several years. So for us, we didn't view this as, hey, there's all this capital, let's go invest it. We said this money belongs to the shareholders of Fiserv. What can we do to make sure that we are optimizing the returns or maximizing the returns over the long term? And so what we did is we looked at where are the areas in which we can make shorter-term investments. We believe that the majority of what it is that we have subsumed in -- or we plan to subsume in 2018 that we will give back over the next 24 months because the kinds of things that we're doing are geared towards increasing -- sorry, expediting time-to-market, expediting some projects that were in place. So the kinds of projects that we're thinking about are updates to our user -- some of our user experiences, doing more work and building out more digital experiences faster, making important enhancements to our service delivery platform, looking at how do we expedite payments platform innovation through -- primarily through integration advantage and looking at where are there fringe enhancements that we can make around, again, other aspects of our service model, where are there projects that maybe they were slated to be 3 years and we can bring them up to 2 years. So those kinds of things that we don't think require a meaningful commitment, and they'll be able to drive revenue and hopefully therefore, margins. The last carve-out in there is we are taking a look at our -- holistically, our benefit plans and our compensation programs to make sure that if there are things that we could do on the fringes or on the edges to make it more attractive, we know we're in the business of people and we need to have the right people delivering against these kinds of investments that we're talking about. And so we're just -- we're using that also to make sure that if there's something to do, that we do it.
Darrin Peller: All right, that actually helps a lot. And just one quick follow-up. I mean look, it sounds like you're not in the market for a transformational type deal, obviously. And just based on the commentary we've heard, I mean, you don't seem like you think you need anything more than perhaps, a tuck in here and there. I just want to, a, make sure that's accurate. And then b, just kind -- and give us a little more thoughts from a strategic standpoint, Jeff, domestic versus international. It seems like we're in for domestic more so than international for a while. Unless I'm just looking at the demand environment here and extrapolating, but any thoughts?
Jeffery Yabuki: Sure. So let me -- yes, absolutely. Let me take the easier one. I would say, we continue to be a primarily domestically-focused company. I would say that the Monitise acquisition and the Dovetail acquisition, those are products that we believe we will proliferate actually quite attractively around the world, so we're excited about that. But as it relates to deploying major capital, I would expect it to be more U.S.-centric than non-U.S.-centric. To the point on transformational acquisition, I don't sit here and say there's anything we need to do to add to our product set that anyone would deem to be transformational. I will say that we see a lot of interesting things on the horizon and the macro trends are evolving. And we will continue to take the actions that we think make the most sense for creating value for shareholders over the longer term. So far, I think we've not done a major transaction since 2007. And so we're quite comfortable with the path that we're on, but we also want to make sure that we're looking at the world correctly.
Operator: And our next question is coming from Jeff Cantwell of Guggenheim Securities.
Jeffrey Cantwell: I wanted to ask you a high-level one on Zelle. BNY Mellon's been in the news, talking about now using Zelle for business payments. Can you just remind us on your involvement with Zelle? In other words, are you partnering with the banks for P2P-only? Or is there the capability for you to partner with banks if they were, for example, here interested in using Zelle for B2B and not just P2P?
Jeffery Yabuki: Yes. Great question, Jeff. We're partnering with the banks to help them -- help provide the offerings that are within the Zelle network. We've actually been in the market with our B2B disbursements and our B2C disbursements capability for a couple of years, it's part of the Popmoney suite. We would see that also meeting the needs of our turnkey Zelle service or other kinds of related offerings. So we believe that we will be part of the Zelle journey as the Zelle journey evolves. We've always believed that P2P was the first part of it and that we would be a very important enabler for banks that want to participate in the formation of this network. So we're quite excited about it, as we mentioned in our prepared remarks.
Jeffrey Cantwell: And then can you just maybe just remind us in terms of the margins on the Zelle transaction relative to sort of your kind of your core business and the trajectory over time?
Jeffery Yabuki: Sure. So the -- this type of a Payments product is a fixed-cost business primarily and then a step fix as you build load over time. So we would expect the -- eventually as you get to scale, that the incremental margins on an electronic transaction will look like many of the other big, electronic scale payments businesses that we have, and then occasionally needing to build in infrastructure to make sure that we're able to support the clients in the real-time world that we're in. The caveat will be as Zelle -- the Zelle network adds more capabilities, I would expect us to be investing more than usual because there's more add-ons coming on. But overall, we would deem that to be a relatively attractive margin business like most of the payments businesses are.
Operator: And our next question is coming from Bryan Keane of Deutsche Bank.
Bryan Keane: Most of them have been asked and answered, just wanted to add 2 clarifications. I think full year acquired revenue was something about $49 million for the year. Just trying to think about modeling for fiscal year '18. Should we think about a similar amount of acquired revenue, call it $50 million for fiscal year '18?
Robert Hau: You'll see an increase in the benefit of acquired revenue in 2018, primarily because 3 of the 4 acquisitions were in the August-September time frame. Only the OBS acquisition took place the very beginning of the year.
Jeffery Yabuki: I would guess it will be up a bit. It'll be up a bit, Bryan.
Bryan Keane: Okay. Yes, we can just model it up, I don't know. We can model a little bit of growth. It's just hard to size it, given we don't know the exact size of all the acquisitions. Just turning to sales on the sales side, I think you guys obviously talked about the sales growth obviously being strong in '16 and then a little bit lower in '17. Is there a growth rate you have in mind for it to accelerate in '18, Jeff, in order to keep the kind of the internal revenue growth accelerating into fiscal year '19?
Jeffery Yabuki: So I would say that the interesting thing is most of what we sell -- as you know, Bryan, most of what we sell in '18 will probably have a bigger impact on '20 because of implementation cycles and things like that. It'll either be recognized in-year or it'll actually likely be out towards the second half of '19 and into '20. So a lot of what we need for this year is kind of in the bag in terms of the things that we have sold. So we -- but we would be always looking because we're geared on creating sustainable kind of moderate increases in internal revenue growth each year, we do need sales to go up. And ideally, if we're going up in the 7% to 15% level, that's pretty good performance.
Operator: And our next question is coming from Kartik Mehta of Northcoast Research.
Kartik Mehta: Jeff, question for you just on mobile banking and Internet banking. It seems as though more banks are looking to put that on a single platform and I believe you have a product that's similar that would meet that demand. And I'm wondering, how much of the growth you're seeing is the result of banks and credit unions wanting to go that route and maybe how that benefits -- if that's accurate, how that benefits Fiserv?
Jeffery Yabuki: So Kartik, we do have a platform called Architect that is a single platform for all of the digital experiences online, tablet and mobile. And it's able to also serve retail, small business and smaller commercial customers. So that platform does meet that need. I would say that there is a growing segment of the market that wants that kind of platform, less because it's a single platform and more because this platform has tools that allow you to have a little bit more control in-house, and some of the more progressive banks are wanting to control more of the experience. So we are seeing that. I would say that it's a fairly small segment of the market. And while we're winning because of the size of our base, in and of itself, that segment is not gigantic. I think it'll grow over the next decade, which is why we thought this was an important acquisition for us to do in '16, and it is contributing. Make no mistake, digital capabilities are very important growth drivers for the company, but that segment is still a relatively small segment.
Kartik Mehta: Jeff, we've seen some bank consolidation and obviously, term fees maybe not in 2018 but in 2017, did contribute. Are you seeing any movement by the banks wanting to change contract terms or maybe term fees are capped or there is some kind of a change for that than we've seen previously? Just any contract term changes that banks might be looking for.
Jeffery Yabuki: Yes. Kartik, I don't -- listen, I think in any sales contract negotiation, the parties are going to try to get what they want. I would say, it's a pretty normal part of the business. So we haven't seen tremendous pressure there. I think in some cases -- I mean, since I -- at least since I've been here, there are often caps in the term fees in terms of the percentages, what is the percentage and how many years. You can see that but I would say that there's not been any major change in the negotiated terms or the more expected terms in the market.
Operator: And our next question is coming from Jennifer Dugan of SunTrust.
Jennifer Dugan: This is Jenny Dugan on for Andrew Jeffrey. I was wondering if you could parse out some of the margin growth, just given the different moving parts, kind of parse it out by segment.
Robert Hau: You're looking for 2018?
Jennifer Dugan: Yes.
Robert Hau: We don't provide the growth. Overall, the growth guidance that we gave was the 10 to 30 basis points. We don't typically provide detail of that by segment. Our Payments segment traditionally is a higher margin business, and we certainly would expect that to continue. But I would anticipate both segments providing margin left into 2018. The reduction in term fees is typically more prevalent in the Financial segment, and so that puts some additional pressure in Financial versus Payments. But overall, we see progress outside of that in both segments.
Jennifer Dugan: Okay, great. And then when you were talking about the operational effectiveness, were you saying 15 or 50 for this year?
Robert Hau: 50, 5-0.
Jennifer Dugan: 5-0. Okay. And then lastly, can you give us any sense of the revenue associated with the lending business that's being sold?
Robert Hau: Revenue for lending? That is -- we have essentially treated that as a...
Jeffery Yabuki: I think Jenny was looking for -- sorry. Jenny, you were looking for the sizing of the revenue for modeling purposes?
Jennifer Dugan: Yes, exactly.
Robert Hau: Yes. It's well less than 5% of the revenue of the company.
Jeffery Yabuki: Thank you, everyone, for joining us this afternoon and now, evening. We appreciate the support. If you have any further questions, please don't hesitate to call our Investor Relations group. Have a good evening.
Operator: And that concludes today's conference. Thank you for your participation. You may now disconnect.